Operator: Hello, and welcome to the Xenia Hotels & Resorts, Inc. Q4 2025 Earnings Conference Call. My name is Carl and I will be on you to your call today. [Operator Instructions] I will now hand you over to your host, Aldo Martinez, Manager Finance, to begin. Please go ahead when you're ready.
Aldo Martinez: Thank you, Carla, and welcome to Xenia Hotels & Resorts Fourth Quarter 2025 Earnings Call and Webcast. I'm here with Marcel Verbaas, our Chair and Chief Executive Officer; Barry Bloom, our President and Chief Operating Officer; and Atish Shah, our Executive Vice President and Chief Financial Officer. Marcel will begin with a discussion on our performance. Barry will follow with more details on operating trends and capital expenditure projects, and Atish will conclude today's remarks on our balance sheet and outlook. We will then open up the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued this morning, along with the comments on this call, are made only as of today, February 24, 2026, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find the reconciliation of non-GAAP financial measures to net income and definitions of certain items referred to in our remarks in our fourth quarter earnings release, which is available on the Investor Relations section of our website. The property level information we'll be speaking about today is on a same-property basis for all 30 hotels unless specified otherwise. An archive of this call will be available on our website for 90 days. I will now turn it over to Marcel to get started.
Marcel Verbaas: Thanks, Aldo, and good afternoon, everyone. As we reflect back on 2025, we are proud of the performance that our portfolio of high-quality hotels and resorts achieved during the year. Adjusted EBITDAre exceeded our expectations set at the beginning of the year as well as our more recent outlook. Significant growth in food and beverage and other revenues contributed to total RevPAR growth of 8% for the year. This was driven by strong group demand throughout the portfolio. and bolstered by encouraging results at the recently transformed and up-branded Grand Hyatt Scottsdale, which ramped up in line with our underwriting expectations in 2025. Our operating results for the year together with over $120 million in share repurchases at meaningful discounts to NAV and our current share price allowed us to deliver double-digit percentage growth in adjusted FFO per share as compared to 2024. In 2025, we continue to build on our track record of continuous portfolio improvement. We sold Fairmont Dallas at an attractive price, resulting in a strong unlevered IRR during our ownership period and allowing us to avoid an estimated $80 million of required capital expenditures over the next several years. We also acquired the land under Hyeredency Santa Clara, removing future uncertainty regarding lease renewal and rent escalations. Additionally, we invested approximately $87 million in our portfolio during 2025 to further improve our assets. These capital expenditures consisted of both gas-facing enhancements as well as substantial investments in property infrastructure that have enhanced the resiliency and efficiency of many of our hotels and resorts. Now turning to our fourth quarter results. This morning, we reported net income of $6.1 million for the quarter. Adjusted EBITDA was $63.6 million and adjusted FFO per share was $0.45. With both results, either meeting or exceeding the top end of the implied fourth quarter guidance range we provided when we announced our third quarter results. Strong group and transient demand drove a same-property RevPAR increase of 4.5%, building on the 5.6% growth, our same-property portfolio achieved in the fourth quarter of 2024. We continued substantial growth in non-room revenues contributed to a 6.7% increase in same-property total RevPAR for the quarter. The continued successful ramp at Grand Hyatt Scottsdale, as well as strong performance by our properties in Santa Barbara, Orlando, San Diego and Santa Clara, we're the most significant components of our same-property RevPAR and total RevPAR growth for the quarter. Encouragingly, our hotels in the Houston market also experienced growth in RevPAR and total RevPAR as market performance improves after facing difficult year-over-year comparisons in the third quarter. On a same property basis, fourth quarter hotel EBITDA of $68.8 million was 16.3% above 2024 levels and hotel EBITDA margin was 214 basis points higher as compared to 2024 as revenue growth meaningfully outpaced our increases in hotel operating expenses. For the full year 2025, net income was $63.1 million. Adjusted EBITDAre was $258.3 million, and adjusted FFO per share was $1.76.  With both measures meeting or exceeding the top end of the guidance ranges we provided after our third quarter results as well as the midpoint of the initial guidance we provided at the beginning of the year. Our same-property portfolio achieved a RevPAR increase of 3.9% in 2025, which was just shy of the midpoint of our last issued guidance. Strong growth in food and beverage and other revenues, contributed to total RevPAR growth of 8% for the year. Food and beverage revenue for the full year was up a considerable 13.4% when compared to 2024, driven by significant increases in banquet and catering revenues while other revenues were also up 13.8%. In 2025, about half of our 30 hotels are resource achieved RevPAR growth as compared to 2024. Our properties in Scottsdale, Denver, Santa Clara, Orlando, San Diego, Santa Barbara and San Francisco delivered the most substantial increases in total RevPAR during the year, and we believe that these markets remain poised for continued growth in the years ahead. On a same property basis, 2025 hotel EBITDA of $274.3 million was 13.5% above 2024 levels, and hotel EBITDA margin was 129 basis points higher as compared to 2024. Our operators continue to do a good job controlling expenses in a continued inflationary environment. Additionally, our corporate initiatives related to real estate taxes, property insurance and infrastructure ROI projects contributed to our margin improvement in 2025. From a demand segment perspective, 2025 largely played out as we anticipated at the beginning of the year with group bringing the leading growth segment, corporate transient showing steady improvement and leisure demand stabilizing. Group demand was a bright spot for us in 2025. A as same-property group room revenues increased by 12.8% as compared to 2024. While Grand Hyatt Scottsdale was a significant driver of this increase, we saw strength in group demand throughout the portfolio. Strong group demand is particularly positive for our high-end portfolio, a significant ancillary revenues generally accompany room revenues. As a result, our banquet and catering revenues increased by 17.2% in 2025. And as compared to the prior year. And this increase was a significant contributor to our impressive total RevPAR increase for the year. We continue to reap the benefits from our investments into upgrades and expansions of the meeting spaces in our portfolio in recent years. Most notably, the additional barroom with Hyatt Regency Grand Cypress and the meeting space expansion and upgrades at Grand Hyatt Scottsdale. After a stellar group year in 2025, we are expecting to build on this in 2026 as our group room revenue base continues to be a positive data point for the year. Atish will provide details on our forward group base during his remarks. In 2025, we invested approximately $87 million in capital projects, which included expenditures related to the completion of the final components of the Grand Hyatt Scottscdale innovation. We completed a number of meaningful infrastructure projects throughout the portfolio as well as minor guest room renovations at 7 of our properties with minimal disruptions to operations. While these renovations were limited in scope, we expect that the refreshed rooms product of these 7 hotels will positively impact the guest experience and the competitive positioning of these properties. We are currently completing a limited guestroom and corridor renovation at Fairmont Pittsburgh, which after renovating the meeting space and lobby and adding a Starbucks in recent years, will further cement the hotel status as the preeminent luxury hotel in the market. This renovation will be completed in the next few weeks, well in advantage of the NFL draft taking place in Pittsburgh in April. We are also in the year in completion of the construction of the enhanced food and beverage outlets at Nashville. We are extremely excited about the quality and a view of the new spaces and believe the collaboration with Jose and Grace Group will be highly beneficial for the hotel as Barry will solve in more detail during his remarks. As we turn to -- we project that we will invest between $70 million and $80 million in total capital expenditures this year. We anticipate that we will incur approximately $1 million of adjusted EBITDA and adjusted FFO displacement in 2026. And as our renovation projects are expected to cause limited disruption to guests given their scope and timing. In addition to the completion of the Nashville and Pittsburgh projects, the most significant projects will be the commencement of the guest room renovations at Condos Napa and the Ritz Carlton Denver that we postponed last year. These renovations are scheduled to commence late in the year during a time when disruption is expected to be minimal. Turning to our outlook for 2026. Our initial guidance is based on a range of 1.5% to 4.5% same-property RevPAR growth or 3% at the midpoint, and 2.75% to 5.75% total RevPAR growth or 4.25% at the midpoint. Most importantly, our guidance on adjusted FFO per share reflects a 7% increase over 2025 at the midpoint, building on the almost 11% growth we delivered last year. Embedded in this outlook is the expectation of a continued ramp-up in revenues at Grand capsule and an expectation of modest RevPAR growth for the remainder of the portfolio. Atish will provide more detailed information on our guidance assumptions during his remarks. Looking ahead, we are optimistic about our future growth prospects as lodging demand remains resilient despite continued uncertainty in the broader overall economic and political climate. We believe that the continued strength in group business, the ongoing recovery in corporate transient demand and the potential incremental leisure demand from large events, such as the FIFA World Cup, the NFL Draft and America 250 will be positive for high-quality and well-located portfolio in 2026. We estimate the same-property RevPAR for the first quarter through February 19, grew approximately 4.6% versus the comparable period in 2025, which is a positive start to the year. We continue to believe that Xenia has planned for meaningful revenue growth in the future and that we will be able to continue to deliver FFO growth in the years ahead as we build on the positive momentum we experienced in 2025. I Barry will now provide more details on our fourth quarter and full year operating results, the W Nashville Food and Beverage relaunch and our recently completed and upcoming capital projects.
Barry Bloom: Thank you, Marcel, and good afternoon, everyone. For the fourth quarter, our 30-hotel same-property portfolio RevPAR was $176.45, an increase of 4.5% compared to the fourth quarter of 2024, based on occupancy of 66.1% at an average daily rate of $266.88. Strength in non-room spend, notably banquet revenues, which were up 17.2% and resulted in total RevPAR of $325.52 for the quarter, an increase of 6.7% when compared to the fourth quarter of 2024. For full year 2025, our same-property portfolio RevPAR was $181.97, an increase of 3.9% compared to 2024 based on occupancy of 68.6% at an average daily rate of $265.3 he Full year total RevPAR of $328.57 increased 8% when compared to 2024. Our properties achieving the strongest RevPAR growth as compared to 2024 for the full year for Grand Hyatt Scottsdale, with RevPAR up over 104% as we lap the transform of renovation, Kimpton Canary Hotel Santa Barbara up approximately 10%; Gronboemin, Orlando, up 8%; among Pittsburgh of nearly 8% and High Regency Santa Clara and the Ritz-Carlton Pentagon City, each up 7.5%.  Strengthen group business and continued improvement in corporate demand was a driver behind success in most of these properties. Conversely, hotels have experienced RevPAR weakness compared to full year 2024 included both Portland hotels, Royal Palms Resort and Spa, and San Diego and all 4 Texas hotels. The Portland, San Diego and Dallas markets had significantly softer citywide convention calendars in 2025 and in 2024 as did Houston, where in addition to a softer citywide convention calendar, our hotels faced a tough comparison to 2024 and a result of the positive impact from Hurricane Beryl last year. Looking at each month of the quarter compared to 2024, October RevPAR was $21.36, up 5.9% and November RevPAR was $176.8 up 5.1%, and December RevPAR was $140.9 up 1.9%. October and November benefited from significant strength in group business, which was up approximately 20% in each month, while December group business were virtually flat to 2024, with the increase coming from improved leisure demand over the holiday period. Business from large corporate accounts continue to recover throughout the year and improved significantly compared to 2024 in the latter half of the year. Combined, Tuesday and Wednesday net RevPAR for the year was up 6% compared to 2024. Across the portfolio, room night demand from our hotel's largest accounts grew at a mid-teens percentage rate in the fourth quarter as compared to the fourth quarter of 2024, giving us confidence about the ongoing recovery in the segment. Overall, leisure business was mixed throughout the year with primarily leisure-driven markets, including Napa, Charleston, Savannah and Key West, being generally flat in RevPAR growth for the year, while we experienced significant growth in Santa Barbara. The Phoenix market exhibited weakness in leisure business throughout the year. Weekend business throughout the portfolio was roughly flat to prior year, with occupancy declines largely offset by rates with combined RevPAR for Friday and Saturday nights of 1.5% compared to 2024. We noted significant strength in weekend business in the last 2 months of 2025 as compared to 2024. Turning to group. For the year, our same property group rooms revenue exceeded 2024 levels by nearly 13% and or just over 6%, excluding Grand Hit Scottsdale. This increase in group business drove significant ancillary spend in banquets, medium rental and audiovisual commissions. Now turning to expenses and profit. Fourth quarter same-property total revenue increased 6.7% compared to the fourth quarter of 2024. Hotel EBITDA margin increased by 214 basis points, resulting in hotel EBITDA of $68.8 million, an increase of 16.3%.  For the full year, hotel EBITDA increased 13.5% with margin improvement of 129 basis points compared to the same period in 2024. For the fourth quarter, rooms department expenses increased by 5.5% and on a 4.5% increase in RevPAR. Food and beverage revenue growth increased by 9.4% with expense growth of 5.7%. Other operate department income, including SPA, parking and golf revenues was up 6% and listens income was up 12.4%, resulting in a total RevPar increase of 6.7%. Neandistributed departments, expenses in A&G and sales and marketing were well controlled. A&G increased by 2.7% compared to last year, while sales and marketing expenses grew by just 1.6%, continuing the moderating trend we've experienced over the past several quarters. Property operations expenses were flat for the quarter but Utilities expenses decreased by 2.7%. Turning to CapEx. During the quarter and year ended December 31, 2025, we invested $15.9 million and $86.6 million in portfolio improvements, respectively. The full year 2025 amount is inclusive of capital expenditures related to the completion of the transformative renovation of Grand hit Scottsdale Resort earlier in the year. In addition to the completion of the Grand Hyatt Scottsdale transformative renovation, for the full year 2025, we completed significant select upgrades to guestrooms at several important properties, including Renaissance Atlanta Waverly, Marriott, San Fransico Airport, Hyatt Centric Key West, HytRegency Santa Clara, ratable hemin Mountain book, Graben in Charleston and Kimpton River Place, all of which were substantially completed during the fourth quarter. Over the course of the year, we performed significant infrastructure upgrades to 10 hotels, including facade waterproofing, filler replacements, elevator and escalator modernization projects and fire alarm system upgrades. We commenced a limited guest room renovation at Fairmont Pittsburgh, which we expect to complete in the first quarter of 2026 as well as our innovation of the M Club at Marriott Dallas Downtown, which was completed in early 2026. Most significantly, we commenced work we announced last quarter related to a major reconcepting the food and beverage facilities at W. Nashville, pursuant to agreements with Jose Andres Group, in which they'll operate and/or license substantially all the hotels, food and beverage outlets. This includes the Genia and Eastern Mediterranean concepts serving lunch and dinner, which opened in mid-February, Farma, a coastal seafood and premium meat dinner concept, which will open in late March, Butterfly, a high-energy rooftop bar with a Mexican-inspired menu, which will also open in late March, and Globe, a new pool deck concept with an expanded bar and upgraded food and beverage offerings, which is expected to open by the end of April. By partnering with this world-class operator, we believe the refined food and beverage platform will create an attractive destination for hotel guests, national visitors and locals as well as strength in transient and group demand. We are projecting the relaunch of the F&B outlets will add between $3 million and $5 million to hotel EBITDA upon stabilization through increases in food and beverage and rooms revenues, which we believe should result in the hotel generating in excess of $20 million of hotel EBITDA in the next few years. We are excited about our planned renovations for 2026, which include the first phase of a comprehensive rooms and quarter renovation at Andaz Napa expected to begin in the fourth quarter renovation of guest rooms, corridors and meeting space at the Ritz-Carlton, Denver, which is also expected to begin in the fourth quarter. At Royal Palms, we expect to perform a limited renovation of 70 guestrooms and the corridors in the MontaVista building as well as a tea Cooks restaurant during the second and third quarters. Continuing our comprehensive maintenance and upgrading of our hotels physical plants, we expect to perform infrastructure and facade upgrades at 10 hotels this year. With that, I will turn the call over to Atish.
Atish Shah: Thanks, Barry. I will provide an update on our balance sheet and discuss our initial 2026 guidance. At year-end, we had approximately $1.4 billion of outstanding debt just over 3/4 of our debt was fixed or hedged to fixed. Our weighted average interest rate at quarter end was 5.51%. Additionally, at quarter end, our leverage ratio as calculated for our credit facility was approximately 5.2x trailing 12-month net debt to EBITDA. We expect our leverage ratio to decline over the next few years and have a long-term leverage target in the low 3 to low 4x range. As a reminder, we have no preferred equity or senior capital. Last week, we fully paid off the $52 million mortgage loan at Grand Bohemian Orlando that was due to mature in March with cash on hand. At present, 28 of our 30 hotels are free of property level debt, representing a source of balance sheet strength. Our debt maturities are well laddered with a weighted average duration of 3.2 years. As to current liquidity, after the Grand Bohemian Orlando loan payoff, our available cash is $75 million, excluding restricted cash. our $500 million line of credit remains undrawn. Therefore, total liquidity is approximately $575 million. I want to now turn to our return of capital. During the fourth quarter, we repurchased approximately 2.7 million shares of common stock at an average price of $13.56 per share. In 2025, over the full year, we repurchased a total of about 9.4 million shares at an average price of $12.87 per share, representing about 9.2% of our outstanding shares at the start of 2025. Over the last 4 years, we repurchased a significant portion of our outstanding shares with our share count declining by 20% from year-end 2020 to year-end 2025. Our current Board authorization permits the repurchase of an additional $97.5 million of common stock. We continue to believe that we trade at a discount to NAV, given our favorable outlook and strong balance sheet, share buybacks continue to be a good tool to drive value relative to other uses of capital. Turning to our other approach to returning capital, our dividend. This morning, we announced a quarterly dividend of $0.14 per share for the first quarter of 2026, if annualized, this reflects a yield of approximately 3.5%. Now to my second topic, our full year 2026 guidance as issued this morning. I'll start with the punchline, which is that we expect adjusted FFO per share to increase nearly 7% from 2025 to $1.89 at the midpoint. Driving this level of strong adjusted FFO per share growth is the ramp on Grand Hyatt Scottsdale, healthy level of share repurchases last year as well as some favorability on interest expense. Moving ahead to adjusted EBITDAre. We expect to generate approximately $260 million of adjusted EBITDA are at the midpoint of the guidance range in 2026. This reflects approximately 1% growth relative to 2025. A few points to keep in mind as we walk from 2025 to 2026 as it relates to growth in adjusted EBITDAre. First, Fairmount Dallas earned nearly $6 million in EBITDA in 2025 prior to our disposition in April. Second, we had approximately $1 million of nonrecurring property tax refunds in the fourth quarter of 2025. Third, we generated about $3 million more in interest income in 2025 than we expect to generate in 2026. And -- and fourth, we had no renovation disruption in 2026 but we expect about $1 million of renovation disruption during the course of 2020 -- sorry, we had no renovation disruption in 2025. And but we would expect about $1 million in renovation disruption in 2026. In total, these 4 items represent an $11 million adjusted EBITDAar headwind and this is offset by about $8 million of year-over-year EBITDA growth coming from Grand Hyatt Scottsdale. If we exclude the 4 items as well as Grand Hyatt Scottsdale, the implied EBITDA growth is a or $5 million on a normalized basis. As to our expense outlook, we expect cost per occupied room to increase approximately 3% in 2026,  given that we expect occupancy to increase during 2026, our same-property hotel expense is expected to increase about 4.5%, resulting in a slight margin contraction for 2026. The pressure on the expense side continues to be from wages and benefits, which represent approximately 50% of our hotel level cost base and are expected to grow approximately 6%. The other costs, which represent the other half of hotel level costs and include a broad range of items such as inventory, utilities, property taxes, et cetera, are expected to grow in the approximately 3% range. While some expense areas were a tailwind for 2025, including property insurance and real estate taxes, in the fourth quarter, we saw an overall decrease in undistributed hotel operating expenses reflected in the decline in other indirect expenses. As we look forward, we expect this indirect expense growth to further moderate. As I wrap up the adjusted EBITDA guidance, I want to provide some waiting to held for modeling purposes. I will provide this by quarter. Our waiting for adjusted EBITDA or lead is nearly 30% for the first quarter about 30% for the second quarter in the high teens percentage range for the third quarter and nearly 25% for the fourth quarter. As to total RevPAR, which we are now guiding to for the first time, the midpoint of our guidance is an increase of 4.25% versus 2025. Excluding Grand Hyatt Scottsdale, the midpoint of our total RevPAR growth guidance is 2.75%. F&B and other revenues are expected to grow at a faster pace than wounds revenues as they did in 2025.  As to RevPAR, the midpoint of our guidance is an increase of 3% versus 2025. Excluding Grand Hyatt Scottsdale, the midpoint of our RevPAR growth guidance is 1.75%. Now I would like to discuss our thoughts on the demand segments as they underpin our revenue guidance. Starting with group. Last year, group demand represented 37% of our rooms revenue, and we expect a similar mix again in 2026. As of the end of January 2026, nearly 70% of our group for the year was definite. For the March through December 2026 period, group revenue pace is up about 10%, and versus the same time last year for those 10 months of 2025. Excluding Grand Hyatt Scottsdale, group room revenue pace was up 8%, again for the balance of the year from March onwards. Working across our larger group markets, the largest increases in group pace are in some of our most significant markets, namely Orlando, Northern California, Nashville and of course, Scottsdale. At Grand Hyatt Scottsdale, we continue to see strong ramp, which is bolstering our confidence in our full year guidance. Groups are really enjoying the resort reflected in revenue pace up about 50% with good early indications for 2027 as well. Next, turning to leisure, which we estimate at roughly 25% of our demand mix. We expect this year to be better -- to be a better leisure year than last year. Events such as the FIFA World Cup and America 250 are expected to drive strong demand in many of our markets. Our preliminary estimate is that these unique events are anticipated to drive about 75 basis points or approximately 1/4 of our expected 2026 RevPAR growth. These estimates are preliminary as much of the demand is likely to be transient has yet to book. We expect varying degrees of benefit across the portfolio depending on distance from the venues and other factors. Lastly, on the business transient side, we expect demand to steadily improve as occupancy is still below 2019 levels every night of the week. We are seeing good momentum in Northern California and some of our other urban locations. Our hotel operators are expecting corporate negotiated rates up in the low single-digit percentage range, and we continue to be focused on recovery of business transient occupancy relative to prior levels. As we look further ahead, we are encouraged by the supply side, which continues to be quite benign relative to levels just a few years ago. As to our outlook on the supply side of the equation, our market tracks look very well positioned with expected weighted supply growth of about 1% in 2026 and even less in 2027. Many of our hotels are located in market tracks with no new supply growth specifically in each of 2026 and 2027, approximately half of our rooms are in market tracks with 0 expected new hotel supply. By every measure, the supply outlook is better now than at any other time in our decade-plus history as a public company. And with that, we will turn the call back over to Carlo to begin our question-and-answer session.
Operator: [Operator Instructions] Our first question comes from the line of Ari Klein with BMO Capital Markets.
Aryeh Klein: I was hoping maybe you can provide a little bit more color or context around kind of the RevPAR guide ranges, particularly at the low end, high end. I think you mentioned about 1/4 of the guide is from the special events, but any additional color would be helpful.
Atish Shah: Yes, sure. Why don't I start on that 1 and then Marcelo or Barry, you can join in. But certainly, the couple of things bolstering the RevPAR outlook One is the special events, as you mentioned, and second would be Grand Hyatt Scottsdale, where we have a lot of visibility based on the pace. And then more broadly, the group revenue pace that we talked about continues to be a source of strength for us. So really, those are some of the main components that give us confidence. The markets where we expect the strongest levels of RevPAR growth our markets like Houston, like Northern California, obviously, Scottsdale, Orlando as well. So markets that are quite meaningful to us and have a significant group component. So I would say that's really what gives us confidence overall in the RevPAR outlook. In terms of the high end and low end, as you know, I mean, we're very early in the year, and much of our business primarily on the transient side has yet to book. So really, the range that we're reflecting is pretty consistent with what we've done in the last couple of years and just reflects kind of the natural volatility in the business and the fact that our visibility particularly to the second half of the year outside of food business is much more limited either of you. Okay. It seems -- are there any other follow-ons on that one?
Aryeh Klein: Not on that one, but I had a different question just around -- Barry, you mentioned some of the positive trends in large corporate account growth. Just curious if you can unpack more recent trends there. And just the incremental opportunity, just I think that segment has kind of lagged from a recovery standpoint. So just the incremental opportunity there.
Barry Bloom: Yes. I mean it's definitely lagged. We're certainly still below 2019 levels in that segment. But I think the growth we saw quarter-by-quarter last year really gives us a much more positive feeling about it, and particularly the growth we saw in Q4. Really, the it was very consistent growth throughout the year with the exception of Q3, which obviously always feels a little bit different. But we just feel like things are getting better. Our hotels are able to better capture more business from more of the large accounts. And some of that is intentionally really going after them, I think, more aggressively but we're also seeing more project work from the big 4 accounting firms and the big 4 consulting firms that just speaks volumes to what's going on as well as some of the very key in our case, Fortune 100 accounts that have just, I mean, really grown remarkably, I think I mentioned mid-teens growth in those accounts in the largest accounts in the portfolio in Q4, we think gives us a good setup for this year. And certainly, we've -- part of what we've seen that's contributed to the strong quarter-to-date performance thus far.
Operator: And our next question comes from David Katz with Jeffries.
David Katz: I wanted to just talk about the asset trading market, and we've spent a lot of time talking about that $50 million in sweet spot. We have seen some deals and/or been hearing from some of the peers about deals that are in some state of process. One, are you seeing a little more activity? And two, should we -- is it fair of us to expect a little more activity from you as we progress through the year?
Marcel Verbaas: Yes. Thanks for the question, David. I think the way you described it is accurate. I think there is some more product out there than what we've seen over the last few years. Certainly, the broker community seems to be a little bit more optimistic going into this year. Now brokers are hugely optimistic. But so far, it does seem like there's a bit more product out there, and there could be some more opportunities out there. S&P's obviously pointed out in his comments, we for active on the share repurchase side. I just felt like there has been over the last few years, a pretty big gap between where we could essentially acquire our own assets versus what external growth opportunities were out there. So to the extent that to dig a little bit deeper and harder into that are out there. So Clearly, over the next few years, we'd like to see some external growth opportunities come to fruition, and that's going to be really driven by the opportunity set for pricing and certainly our own shares are valued.
David Katz: Understood. And I think you started down the road of answering the next part of the question, which is how do we think about setting boundaries for you in terms of what would interest you? I know that obviously, you look at everything, it's what -- it's what's usual and required but what kinds of things would you like to add as you start looking and seeing more stock?
Marcel Verbaas: Yes, sure. I mean we -- I think kind of the numbers you were talking about. I mean, clearly, the kind of $50 million to $200 million range is kind of the sweet spot for a company like ours with the size of our company. I think we've done a very good job of increasing the quality level of our portfolio and just kind of over what a portfolio is positioned currently from both a quality and a location standpoint. So as I've said many times in the past, when we've talked about these questions, we don't necessarily say, hey, the next acquisition needs to be in market A, B or C. We want to make sure that we look at the opportunity set that's out there. Clearly, there are 3 markets where we have a pretty good concentration at this point, really between Orlando, Houston, Phoenix, those are obviously some of the big drivers for our portfolio. So with the percentage that we're already in those markets, I don't necessarily see us looking in those markets unless there's some great opportunity that kind of force us to look at do we replace an asset in 1 of those markets? So it's really about some of the other markets that we are still somewhat under concentrated in and maybe some markets that we're not in. So we really want to be opportunistic. We want to make sure it's an asset that fits well with our overall strategy of being able to pivot between different demand segments. Clearly, the group segment has been something that's been very beneficial to us over the last few years. So we'd be very interested in potentially adding a little bit there. But -- it's not to say that if there is just a great opportunity for an asset that's a little bit more focused on corporate transient or leisure that we wouldn't take a look at that. zlz
Operator: And the next question comes from Michael Bellisario with Baird.
Michael Bellisario: To First question is on Nashville. Just first on Nashville, just 4Q, how did that market perform? And then looking out to 26, what are you guys seeing on both the leisure and BT fronts, just relative to the market having been relative underperformed recently. .
Barry Bloom: Yes, Q4 was really tough for the market. We certainly participated in that toughness, unfortunately, where we continue to see opportunity to improve our focus, both pre and post the restaurant food and beverage transformations is really on the midweek corporate customer and on the midweek group customer is really a sweet spot for the hotel where we've continued to experience growth despite some of the challenges and softening we've seen in leisure there over time. We think the 2026 setup is certainly expect to be improved over 2025 but not significantly, quite frankly. But with our -- where we do think we're going to see growth is, again, is that is in midweek corporate and midweek group as we really kind of continue our efforts in that area. We do think -- longer term, we think that we're going to have the opportunity to, as I mentioned, really enhance the profile of the property in a way that appeals to -- that we gather a little more appeal to the leisure guests as a destination hotel because of the food and beverage platform. which we've seen in some of our other hotels, and we've certainly seen an experience with -- in other hotels operated or licensed by Josiane Group.
Michael Bellisario: Got it. That's helpful. And then just maybe more conceptual here, just on sort of the RevPAR versus total RevPAR split, I guess, how long could that positive spread persist? And then within the F&B and other lines,  are you actually raising prices? Or are you just seeing volume pick up? Just sort of any thoughts on that spread there, the performance in the non-range lines would be helpful.
Barry Bloom: Yes, sure. I mean it's -- obviously, there've been significant beneficiaries across the industry, but I think we have a couple of unique pieces that we think are going to give us continued growth there. A lot of it is related to our continued growth and success in group business, a lot of which is still being driven by the new ballroom at brand site, which although it's not that new, we're really seeing the benefits of that come to fruition now as the hotel continues to be able to stack more group in the property. The property is also similar story, certainly in in Scottsdale as well. And while we're seeing some growth in restaurant business, it's really been the growth in banquet and catering, food and members. It's really been the star performer in those hotels and across the portfolio. I think some of it is driven by our conscious decision to group up across the portfolio. Some of it is related to kind of as that business has grouped up. It's been largely in corporate business as opposed to association business, which has shown a great willingness right now to spend on food and beverage and continue to spend on food and beverage for programs. Our hotels are capturing a lot more group meals on site than than off-site. That's because certainly a trend we've seen in the largest sorts, whereas historically, some groups might have gone off property for a night or 2. They're choosing to say on property for more evening functions in particular, which is driving revenues significantly in the larger resorts. So think about Hysan Cypress, hives Scottsdale and Park Hyan Aviara have been the most significant beneficiaries of that trend. And then finally, the -- absolutely, the hotels are taking advantage of pricing and are finding more opportunities to get groups both to spend more but there's also been incremental pricing increases across all of those. So across all of our group-focused hotels as it relates to break catering prices.
Operator: [Operator Instructions] The next question comes from Cooper Clark with Wells Fargo.
Cooper Clark: I appreciate some of the earlier comments on the RevPAR complexion. So thinking about group PACE ex Scottsdale up about 8% from March to December but RevPAR ex Scottsdale only up about 1.75%. Just curious about some of the puts and takes there and any kind of drivers we should be thinking about?
Atish Shah: Yes, that's a great question. So thanks, Cooper. So I would say a few things. I mean, first, as the year goes on, we expect that group number to come down given that we're pretty booked up for group and there's less space and dates available for groups. So that's 1 thing to keep in mind. Secondly, I would say, we expect obviously, some growth out of business transient and leisure but much lower levels. So when you mix it all together and blend it, that's where you get to the full year forecast being significantly lower than the current pace number. And if you think about the evolution of our business last year and where we started in terms of group pace, how group performed for the full year, how business transient and leisure came in, we expect sort of a similar prioritization where group would likely be the strongest performer, followed by business transient and then leisure I will say though that for this year, the outlook for leisure does appear better, as I mentioned in the prepared remarks, given both the special events and hopefully our properties that were normalizing a bit last year have now finished really the normalization process. So that's really kind of how we think about both the segments and some of the inputs and where you get to the total number that we referenced.
Cooper Clark: Great. That's very helpful. And then curious if you could talk about the time line around the Nashville F&B ramp towards stabilization.
Barry Bloom: Sure. I mean I talked about the timing of each outlets opening. We're seeing a pretty quick ramp-up on Zatenia, which has now been open, I think, for days or so, a little less than 2 weeks. What we've seen in other Jose Andres operations is they tend to ramp up quite quickly. But I think it's hard given where we are today to really think about when we kind of hit stabilization, but we've certainly underwritten some pretty fair performance in the asset for this year in terms of the growth in ramp-up.
Marcel Verbaas: Yes, I'll just add to that, that obviously, we'll get the initial bump of kind of the excitement and the marketing of it being added to the property. But the real benefit is going to be in the next several years as the property just gained some more momentum as far as being kind of the destination hotel like Barry was talking about. So we love the incremental revenues that we're looking to achieve at the property is not necessarily a massive improvement in food and beverage profitability. It's really coming from how it all plays together with the hotel operation and how the hotel just becomes a more attractive destination for every segment. So it's a great selling point for the group segment. Obviously, it's going to be very attractive for corporate transient. And for leisure, it also will become a much more interesting destination. So we think what it's going to do for the overall performance of the hotel is going to be something that's going to play out over the next several years.
Operator: And the next question comes from Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt: I was just wondering on the operating expense growth outlook of 4.5% I mean, how much of an impact is the Grand Hyatt Scottsdale having on that? And I guess, what's kind of the expectation on that sort of moderating more towards inflationary levels -- just wondering what some of the other -- some of those moving pieces are.
Atish Shah: Yes, sure. Why don't I start that and then maybe Barry and Marcel could add to it. So Certainly, the numbers that I provided on the expense outlook include Grand Hyatt Scottsville, and I referenced a slight margin contraction expected for the full year. If you factor in Grand Hyatt Scottsdale or look at that separately, it's a little bit more margin contraction expected. So we've really seen most of the expenses come in on the Grand Hyatt Scottsdale. I don't think that's having as outsized an impact as it had over the course of the last year. Obviously, business is continuing to pick up from an occupancy perspective. And that's why you have more of an impact on overall expenses coming from Grand Hyatt Scottsdale and the rest of the portfolio because we're still adding to the occupancy of the asset.
Marcel Verbaas: Yes. I think this also mentioned in his remarks that if you look at it were occupied room basis, we're essentially kind of at that inflationary number right were at above that 3% increase on a per occupied room basis. So a lot of the -- a lot of the increased expenditures to get to that 4.5% number is more just because of occupancy building. And some of that clearly is related to Grand Hyatt costs.
Austin Wurschmidt: That's all helpful. And then I'm just wondering, it sounds like the group pace at the Grand Hyatt continues to ramp on par with what you had underwritten. The outlook seems really positive in the 27%. I'm just curious on the transient side for that hotel, how the ramp; has been and then just how that's factoring into the ADR pickup that was underwritten in the initial outlook prior to the renovation.
Barry Bloom: Yes, sure. Obviously, this really is our first season at the property, given kind of an came online last year and where we were in terms of, although we were completed we're not really ahead of the curve on marketing during the peak season that we're seeing fantastic results this year. This year-to-date so far and really good pace for March and April and the hotel has been able to I think, step up its game as it relates to being able to charge the premium rates at the property and facility deserve. So we feel really good about it. Are we going to get all the way to where we want to get this year in terms of transient positioning in season? Probably not. But I think that also gives us the opportunity. We've always looked at for further growth as we head into its second half season in the first 4 months of 2027.
Marcel Verbaas: I think what we saw in in '26 coming this first year, really pose renovation is we essentially got to our number that we had underwritten for the first year but we did get there a little bit differently. Clearly, the the leisure demand in Phoenix cost sale was a little bit softer last year than in prior years. But we definitely made up for that on the group side and really got to the numbers that we were able to deliver. So I think that's kind of the backdrop that we're still dealing with as we go forward. That's clearly to get to that stabilized number it'd be nice to see if the leisure demands come back a little bit more strongly here over the next 12, 24 months but we feel good about the forecast of where we are for this year based on that very strong group base and just all the recent trends we've been seeing there. zlz
Operator: [Operator Instructions] And as we have no further questions in the queue, I will hand back over to the Chair and CEO, Marcel Verbaas for any final comments.
Marcel Verbaas: Thank you, Carla. Thanks, everyone, for joining us today. We're obviously a solid to start this year. I appreciate all the questions today, and we look forward to connecting with everyone else here moves along.
Operator: Thank you, everyone, for joining today's call. You may now disconnect. Have a great rest of your day.